Operator: Good day, and welcome to the Scotts Miracle-Gro 2019 Second Quarter Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Jim King. Please go ahead, sir.
Jim King: Thank you, John. Good morning everyone. And welcome to the Scotts Miracle-Gro second quarter conference call. With me here in Marysville, Ohio this morning are Jim Hagedorn, our Chairman and CEO; Randy Coleman, our Chief Financial Officer; Mike Lukemire, our President and Chief Operating Officer, as well as several other members of our operating team. We’ll get started in a moment with prepared remarks by Jim and Randy respectively. And at that point, we’ll open the call to your questions. I know that many of you have other calls this morning, so we’ll try to move through the queue as quickly as possible. If you could help us manage our time, please ask just one primary question and one follow-up. If there are questions left unanswered, I’m glad to follow-up with as many of you as I can later in the day. For clarity during our call this morning, we will be referring to both sales to retailers, which are reflected in the P&L through March 30th, as well as consumer purchases at retail as measured by POL, or point of sale data. The POS data is current through last Saturday, April 27th. One bit of housekeeping related to our IR activities. On Thursday, June 06th, Randy and I will be presenting at the William Blair Growth Stock Conference in Chicago. This will be a webcast presentation, and be available on our Web site. More detail will be provided leading up to that event. We have historically used this conference to update our guidance for the full year, and have issued a press release in conjunction with the update. While those plans could change between now and June 06th, our current intent follow these past practices. With that, let's move on to today's call. As always, we expect to make forward-looking statements this morning. But I want to caution you that our actual results could differ materially from what we say here. Investors should familiarize themselves of full range of risk factors that could impact our results, and those are filed in our form 10-K, which we filed with Securities and Exchange Commission. I'd also remind everyone that today's call is being recorded and an archived version of that call will be available on our website later today. With that, let's get things started. And I'll turn things over to Jim Hagedorn.
Jim Hagedorn: Thanks Jim. Good morning everyone. Yesterday, I have laryngitis pretty bad and couldn't speak. So I'll try to get through the script. If I need help, Randy may pick up. So just heads up. So here we go. There was a morning a couple weeks ago when I was walking into the office, and I realized the spring was finally here. The grass was green again and leaves were opening on the trees and the flowers were in full bloom. And it dawned on me right then and what I wanted to talk about today. I doubt that many of my peer company CEOs walk outside in the morning and get inspired about their business, but that experience means something here. Spring is our season, the time of year when the spotlight shine the brightest on our business. And at the risk of sounding a bit corny, I consider Scotts Miracle-Gro the undisputed leader of spring. It's hard to argue that point this year the POS up 13% in our U.S. consumer business and strong performance in nearly every category in which we compete. And I don't want to focus on today's press release from the strong start to the season. What I'd rather focus on are the real efforts that enable those results. And I want to target my comments to those shareholders who are not just interested in the latest quarterly scorecard, but those who like me are focused on what we're doing to create long-term shareholder value. That effort goes well beyond how we're executing on a day-to-day basis. It's about how we are pushing ourselves to develop new and more creative ways to strengthen our multi-generational relationship with our consumers. It's about bringing energy and new approaches to the table to keep our retail partners engaged. It's about creating and implementing an industry-leading approach to the hydroponic space. It's is about driving value for shareholders by focusing on cash flow over EPS and sustained the predictable performance over periodic bursts of energy. And it's about creating a corporate culture that is both energetic and inviting, the kind of place that will allow us to attract young talent that we need to maintain the momentum for years to come. A lot of folks have started asking me if I'm contemplating a slower pace, or maybe even retirement. The truth is I haven't had this much fun at work in years, and my level of engagement is actually increasing, not decreasing. The reason I suspect is twofold. First, the issues we're working on, the evolution of Hawthorne, changes in how we communicate with consumers, the challenges regarding roundup, our commitment to improving cash flow, the development of our next generation of leaders, are critical to our success in both the near and long-term. And second, frankly, I'm just energized of what we're trying to do. All of our efforts are paying off so far this year, so I'll just hit a few of the highlights. Sales to retailers and U.S. consumer are up 8%. Five of the last six months of Hawthorne have been up double-digits on a comparative basis. And we've once again been able to get our leverage ratio below four times. Someone will probably ask the question later, so I'll just say it upfront; yes, we are running better than we expected entering May; and no, we are not changing our guidance at this time. While there is a lot of optimism flowing through the building right now, it's May. We've been here too many times to declare a victory at this point. There's a lot of season ahead of us and we have to stay focused all the way through to the finish line. Like I said, I don't want to dwell on the numbers. What I'd rather do will focus on the real efforts that allowed us to deliver those numbers. A year ago, there wasn't much celebrating going on here. We had a terrible start to the season and changes to California cannabis laws wrecked havoc on the hydroponic space. It would have been easy to panic as the stock price fell and some investors questioned our strategy. We could have scrambled to restructure, pull back on innovation, or said investments in marketing could wait for a better day. We actually may have done some of those vary things a decade ago but this is a different company today and we didn't do any of that. Instead, we stay focused on the play we called and kept executing. In fact, while we're sitting on this call a year ago talking about the challenges of 2018 season, our teams were head down already focused on the 2019 season. And that approach is evident in the results we announced this morning, both in our U.S. consumer segment and in Hawthorne. Look at our lawn fertilizer business where POS is up 10% entering May. The biggest drivers in this category are products that didn't even exist three years ago. A decade ago, this category was in a deep slight. But we took the time to understand why that was happening. We found new ways to engage with the consumer, created trade programs that rallied our retailers and launched products that exceeded our expectations. One of those products, Scotts' Triple Action, which seeds your lawn, kills weed and either prevent crabgrass or controls bugs were depending on reasonably specific product that you buy. Another example is Scotts Thick'R, which contains soil enhancements, fertilizer and grass feeds on a single bag. It's been blowing the doors off with consumers. Grass feed is up 35% this year and was one of our high performing categories last year as well. Over 90% of the online reviews for Thick'R carry a five star rating. Further proof that the innovation we're bringing to the market is driven by understanding and adopting to consumer needs. The way we're talking to consumers also continues to evolve. We're not just investing more heavily this year, we're evolving our approach. And the actions we've taken so far are just the tip of the iceberg. A decade ago, I spoke at an Analyst Day meeting in New York and criticized our digital marketing efforts. Yes, we were doing a great job with TV and radio but our digital efforts were way behind the curve. We were doing almost nothing with social media and our online commerce efforts were non-existent. Today, our digital efforts are greatly improved and I want to acknowledge our team for their work. But the digital marketplace is ever-changing. And if we were lagging in this space in the past, I want us to be leading in the future. More of our spending needs to move to digital but our efforts have to be focused on inspiring the consumer. We have to be clever, provocative and innovative. We also have to be willing to challenge your own thinking. That's why we've enhanced our internal efforts through the engagement this year with Gary Vaynerchuk, an acclaimed online influencer who has become one of the country's most sought after digital marketing authorities. He and his colleges at VaynerMedia have helped us to launch our successful new Ortho GroundClear campaign, and have been heavily engaged with our team on using our social media presence more creatively. I mentioned Gary's work with us, not just in the context of marketing but through the lens of creating long-term value. Consumers are changing fast. And if we hope to enjoy relationship with them in the future, we have to change too. I'm committed to revolutionizing our approach to marketing, positioning both of our company and our brand in a way that instills trust with the next generation gardeners and allows them to see us as a relevant and necessary part of their lives is necessary. Speaking of being relevant, I want to spend a few moments talking about what's happening with the launch of our new GroundClear product and also provide an update on Roundup. First, on the Roundup front. You saw in the press release, the POS is up more than 20%, that's obviously good news and we're particularly thankful for the strong retailer support brand that’s continuing to receive. On the past two calls, I have hinted that we were talking to buyer about the structure of our relationship with them. And we've made tremendous progress in recent weeks. First, you may recall, we entered into a JV with Monsanto a couple years ago that resulted in Scotts' acquiring a 51% stake in a professional non-selective weed control product business. In recent weeks, we sold our interest back to buyer and have exited that business. It negatively impacts the P&L by a few cents per share, but the cash proceeds of $37 million will go straight to paying down debt. Additionally, we've already reduced our debt by about $140 million using the proceeds from sale of our minority interest in True Green. These two transactions have allowed us to get below 4 times leverage in the quarter, and we should remain at that level through the end of the year. If we stay in our current path, we would expect to get back to about 3.5 times leverage next year. This would allow us to get back to one of our major pillars of project focus, to return cash to our shareholders. A second development is that buyer has agreed to $20 million reimbursement this year. We have been anticipating this payment for several months as reimbursements for investments we didn't anticipate entering fiscal 2019. In other words, I would caution you against adding this to your models. Our counterparts there have been committed to working with us. We've been working collaboratively to further make amendments to our agency that gives us more flexibility going forward. I'm cautiously optimistic and we'll obviously have more to say as things move along. As for GroundClear, it's the story behind the story that I think matters the most here. We brought this innovative herbicide to the market in less than a year. That's unheard of in the pesticide line. Nearly every major function in the company touched this product, and the process ran with near perfection. GroundClear serves two important purposes. First, it provides an alternative to consumers who might have otherwise decided to leave the category. But this is also our first OMRI-listed non-selective weed control, so it can be used around organic gardens, and it is extremely effective and fast. This opens up an entirely new segment of audience for us and allows us to expand in the category. In fact, if you look at the non-selective category in total, that’s Roundup and the entire GroundClear line, consumer purchases are up nearly 30% entering May. GroundClear is an example of turning the organization on its head and getting something done with urgency. Sometimes the process doesn't work like that. Sometimes bringing a product to market takes patience and that's what we demonstrated with Miracle Gro performance organics. In a slow growth category like lawn and garden, it's easy to consider reductions in areas like R&D as a potential pathway if you're looking to save your way to success. That approach could have made sense in this instance since our soil products are already the number one product line by a wide margin. But consumer sentiment is evolving and if we didn't create the ultimate organic product, we knew someone else would. So we spent four years working on performance organics and the results, the creation of an organic fertilizer formed every well as a bit of synthetic was worth the wait. Retailer support has been fantastic, consumer engagement has been strong and the entire Gro category is up 10% on a fiscal year-to-date basis entering May. And that's before we get to the peak gardening weeks of the year. There's a common thread in all the product stories I've highlighted this morning. In each case, it's been about addressing the changing needs and attitudes of consumers. To truly address those changes, we need the support of our retailers. This season, in particular we strengthened our relationship with them by having critical, timely and honest conversations about the challenges and opportunities in our category. The transparency of those conversations has helped strengthen those relationships and trust, and drive the announced -- the results we announced today and positioned us for continued success in 2020 as well. I'll cover more about the U.S. consumer business in Q&A, if you'd like. But in the interest of time, I want to shift gears and talk about Hawthorne a bit. Clearly, we're pleased with what we're seeing. We had double-digit growth throughout the quarter with strong growth in both durables and consumables. And we're seeing growth in both emerging and mature markets. I'll leave the rest of the facts and numbers to Andy. On the last call, someone asked me why I was so confident we would win in this space, and what we would bring to the party that gives us the right to win on the professional side of the industry. There was a clear implication that some folks believe our experiences as a consumer company somehow impedes our ability to be successful here. When you run a public company, it’s hard to plug your ears sometimes, that was one of those times. Because the notion that we have the wrong products or skill set to win in the professional grower market is just flat out wrong. I’ll start reminding you that a very small percentage we believe likely less than 5% of our hydroponics products are used by people growing plants at home. Said differently, more of than $500 million worth of our products will be used by commercial operators this year, including the largest growers in the world. In fact, we have a dedicated team that focuses exclusively on that segment. While it's become cool and fashionable to invest in companies that are affiliated in the hands and state authorized cannabis industries, we were the first major player and certainly the first public company to enter the space. We’ve been bullish on this category from day-one, including a year ago when it felt like the sky was falling. I’ve suggested many times that last year was an aberration, the kind of results that occur sometimes when a business is still in the adolescent stage. But the results we posted in Q2 and the momentum we’ve seen so far in Q3 is showing once again that this industry has great potential and we are better position than anyone to win. First, the results we reported today demonstrate that large commercial operators in the industry see us as a critical part of their success. And the approach we’ve taken with them has allowed us to expand our market position. Over the past year, we’ve taken an aggressive approach to promotions and it’s not because we lack confidence, it’s because we have confidence. In a moment of frustration last year, I made a comment on one of these calls that the team has gone shy. They’ve taken great pride and proven me wrong. Our goal is to be the perfect supplier to growers in both the U.S. and Canada. And so we have been investing as we planned to do to build our customer base and distance ourselves from the completion. We’re succeeding. The number three player in the space has exited the category in recent months, and we have further distanced ourselves from the number two player. We have demonstrated to our customers that we are just as committed to their success as we are to our own. To be the perfect vendor, we can’t simply sell products. We have to sell performance and be viewed as a trusted resource. This is especially true if the market continues to evolve and the financial stakes growers continue to climb. We have to help them understand how to use our systems in a way that delivers the best results in the most cost effective way possible. To be the perfect vendor, our customers can’t see us as a vendor. They have to see us as an indispensible partner to their success. To achieve that goal, there is a clear near term trade off that we’re making. Our margin rate is clearly not where we'd like it to be right now. In the near term, however, by engaging in aggressive promotional strategy, we have solidified our market leadership, which I believe, creates the best environment for a more attractive level our profitability over the long-term. To sustain this success will require us to continue to further improve our product portfolio. We need do expand our technical capabilities and ensure that our R&D pipeline is focused on performance, cost and speed. We have to be mindful that as fast as this industry is evolving, much of it remains the same. Just as we do in our U.S. consumer business, we need to respect the culture that the pioneers in this industry created and help them continue to succeed alongside the larger players who are now coming in. I want to wrap up and turn things over to Randy. But I first want to reiterate how good I feel about the way we're running this company. As I said earlier, creating long-term value requires a lot more in getting a good break from Mother Nature or hitting the occasional home run with the new product. It starts with a mindset and commitment, and it requires investment in both the right people and the right processes to get things done. I want to tip my hat to Mike Lukemire. He has done a great job as Chief Operator and his team is performing at an extremely high level. What's really exciting is that I'm confident they've got a lot more in their tank. I also have to give a knot across the table to Randy. In my 20 years as CEO, he has been the best operating CFO I've ever worked with. It's been rewarding to see him expand his role to take on strategy, to help us navigate M&A and to drive our discussions with the team at Bayer. It's also been great to see the momentum on our side of Hawthorne. Even though politicians mostly at the federal level are ridiculously slow to embrace changes that Americans clearly want. It's encouraging to see positive changes in states where voters are getting a say. In those places, state laws are helping our business. Growers are finding it profitable to grow again and retailers are feeling more comfortable in taking inventory, because they are feeling the tailwinds as well. It's not hard to be pleased with the results we announced today. It always feels better when people are stressed to keep up with demand instead of being suppressed to create it. There is a renewed sense of confidence and enthusiasm throughout the company this year and it's comparable. We can feel it. I can feel it. I hope you guys can as well. Let me turn things over my partner to run you through the numbers, Randy?
Randy Coleman: Nice job, Jim.
Jim Hagedorn: Thank you.
Randy Coleman: I know that was a struggle. Hopefully, everybody listening appreciate that. So, good morning, everyone. We clearly have a great deal of good news to cover today, and I want to start by reinforcing the confidence Jim just expressed about where we stand right now. I'll discuss our guidance in more detail in my prepared comments, but I'll just say out the gates that I feel optimistic about our ability to deliver on the commitments we made at start of the year. I'm not going to go line-by-line through the P&L. We will cover things in Q&A. There is an area where you need more explanation. But I will hit the highlights and anticipate some of the questions you have that may not be answered by simply looking at the numbers. On the sales line, let me touch on a couple of items. We said the U.S. consumer business would be up 1% to 2% for the year, and we're up 8% in the quarter and year-to-date and we're now at the midway point of the year. Two things you should know. First, a lot of the mulch sales were seen this year were not contemplated in our original guidance, at least $35 million worth. The other point is remind you what I said on our last call. We've seen some of our retailers take a more aggressive approach to filling their stores earlier this year, that's exactly what happened. So more so than in most years, the balance of 2019 is really about replenishment and that means it's really about consumer engagement and POS from this point forward. Both we and our retail partners remain extremely active in trying to drive consumer engagement. Remember though we have a plus 28 comp in May, so we're elected to give back much of the POS growth we've seen year-to-date. In addition, historically speaking, we still have about 50% of the POS here still in front of us. If POS is plus four or plus five in mid June, I'll be very pleased with that result. The other thing working out there right now is that retail inventory levels are up from last year's levels. There's clearly less focus on that metric at this point in the season than we saw a year ago. But the season ending inventory is really what the retailers historically try to manage. We anticipated going into the year that retail inventory reductions could put downward pressure on our top line number by the end of the year. Even though that's not manifesting itself right now, we're not going to move off of this assumption until much later in the year. Hawthorne total shipments up 21% at quarter and 5% percent year-to-date on an apples-to-apples basis, also, look a bit better right now than our guidance would have suggested at the midway point in the year. Even more encouragingly, we are also up over 20% in the U.S. hydroponic business for the month of April. I'm usually a margin hawk, but I'm totally aligned with Jim's comments about our near term focus to re-energize the top line at Hawthorne. My bias actually stems from a dozens of shareholder meetings I've participated in over the past year. I believe getting this business to once again show sustainable growth is our number one near-term priority. However, looking into the future, we will be shifting our focus next year to create a margin profile that allows us to drive the value from the business that our shareholders expect. On the companywide gross margin line, our rate has declined 60 basis points in the quarter and 160 basis points year-to-date on a non-GAAP basis. While our gross margin dollars are up almost $65 million so far this year, we obviously have some ground to make up to get our gross margin rate to flat by year end as we had originally planned. Right now, as expected, the impact of the Sunlight deal and more specifically, the lower margin distributions side of this business is the biggest drag on the rate, but that begins to anniversary in June. Also, we've been highly promotional in Hawthorne over the past few months. While this approach is driving share gains and top line growth, it also has an impact on our gross margin rate. Pricing in our U.S. consumer segment only took effect in Q2, so we'll get more benefit in the months ahead. Additionally, the impact of the incremental mulch business to add more margin dollars, but it will also be dilutive to our overall rate. Some of the margin pressure will offset in Q3 by a $20 million reimbursement we received from Bayer for incremental expenses incurred and to be incurred in the future related to the Roundup business. This payment will run through our P&L similar to how the commission does. As a reminder, we originally guided to $20 million contractual reduction in Roundup related gross margin for the full year, and that impact will now be entirely offset within gross margins to be this April 1st payment. Commodities continue to come in as expected, a headwind over last year but negated by pricing. We're about 90% locked on the commodity purchases for this year and have began locking in costs to 2020 as well. On a related note, hats off to our supply chain team. Despite retailers pulling forward inventory and consumer purchases being red hot in the early season, we’ve done a great job of keeping retailers and stock without facing any unexpected pressure on either the availability or the cost of it. Moving on to SG&A. We saw increases of 8% in the quarter and year-to-date to $180 million and $296 million respectively. The increases were driven primarily by the Sunlight deal net of synergies. We’ve had higher media spending this year as well. Some of it was planned and some of it not planned at the start of the year. However, some of the $20 million reimbursement coming from Bayer is targeted to help cover the incremental investment in advertising expense that was not contemplated in the original guidance that we provided to you. In terms of the Sunlight deal, the SG&A savings we anticipate have been realized on time and in full. Some of the anticipated supply chain savings are turning slightly behind the schedule, but we’re still plan to hit our incremental $30 million cost savings goal for the full year. You’ll notice that segment profit for Hawthorne is about $15 million year-to-date, so we need a strong performance in the second half to hit $60 million profit goal. Continued strong sales trend, back half synergies and prior year purchase accounting expenses that will not repeat are the key drivers for Hawthorne. Interest expense in the quarter was $29 million, an increase of about $6.5 million from last year. And our leverage ratio stood at about 3.9 times entering Q3. I will reiterate once again that 100% of the proceeds from the trigger divestiture have gone towards paying down debt. In addition, separate from the $20 million reimbursement mentioned earlier, we also received on April 1st, a $37 million of payment from Bayer for the sale of our interest and a JV for our professional business. And we also applied those proceeds to debt reduction. Combined with the plans we already have in place, I would anticipate our leverage ratio continue to be slightly below 4 times at the end of the year. When we take all this down to the bottom line, our non-GAAP adjusted net income was $203.2 million or $3.64 per share in the quarter. That compares with $155.2 million or $2.88 per share in the same period a year ago. On a year-to-date basis, the non-GAAP adjusted earnings are $126.2 million or $2.26 per share compared with $103 million or $1.78 per share a year ago. What does all this means for our full year guidance? Frankly, it’s still too early in the year to change anything but some clear trends that are definitely shaping out. I think it’s reasonable to expect that we may over-deliver on the top line, either in one segment or both. And I’m optimistic about where we stand right now. Our original guidance for the gross margin rate flat from last year is still possible but may now be a best case scenario. Regarding SG&A, given the media spending that is incremental to our initial guidance, SG&A dollars will likely to be higher than we thought but SG&A as a percentage of sales probably will not change materially. Perhaps this is redundant from our previous comments, but I also want to clearly address the impact of the $20 million we received from Bayer on April 1st. We’ve been in discussion with Bayer for several months, providing confidence that we have extra money to invest in both U.S. consumer media and Hawthorne promotions that would drive our top line, after paying for certain other SG&A costs. Importantly, I would not assume any of the $20 million is incremental earnings for the year. Today, we’ve seen terrific success with the incremental spending plans developed after we provided our full year guidance last fall. However, we saw several big POS weeks ahead of us, and the hydroponics business can vary significantly from one month to the next, so it's not prudent to firmly update our expectations until we have more visibility on the year. And with all those puts and takes, it's simply too early to give you an accurate gauge on what all this means to our non-GAAP adjusted EPS target. Jim King said at the outset that we’ll be in Chicago on June 6th for the William Blair Conference. We almost always view this event to provide a live update on where we stand, and I expect us to do that again this year. But regardless of all that, I want to close my remarks by once again expecting my optimism about where we stand. And frankly, I appreciated Jim's comments about how we got there. A year ago, I was out there in front and center listening to people question our strategy. Did we get everything perfect? Not initially, but I'm proud that we stayed true to our beliefs, stayed focus on executing. So this fact put us in a great position entering the back half of this year, and also as we begin preparing for the 2020 season. So with that, let me open the call for your questions. Thank you.
Operator: Thank you [Operator Instructions]. We'll now take our first question from Bill Chappell from SunTrust. Please go ahead, your line is open.
Bill Chappell : Just first on the Hawthorne side. Can you give us a little more color on what the liquidation did to your sales and your margins intra-quarter of the number, I guess the number three player. Just trying to understand and did that cause a cut in prices, did it cause a slowdown in sales, I mean where they could have actually been better? I didn't understand what the near-term impact was.
Randy Coleman: So we have been promotional. We have been taking market share. The number three player is out of business, number two players definitely challenged given how aggressive we have been, and market share we've been taking. That's exactly quantify the impact of that it's difficult to say, I can tell you that promotions that we run have been profitable. So they have been margin dilutive but we're not losing money, we're not a loss leader. We're still making money at what we're doing. And we're being very successful driving the top line. And we always engage in a lot of debates here about margin versus sales and so on. But what we're doing for this year, I'm completely aligned with driving the top line, taking share and putting us in a really good long-term position. So hopefully, that helps. But I don’t know Jim, or Luke or Chris want to add anything else.
Jim Hagedorn: I'm going to try to save my voice if that works.
Chris Hagedorn: Bill, this is Chris. One thing I would add is that without looking at it from a financial perspective, just looking at from a market share perspective. Following the closure of the number three player, we've seen a significant increase in the retail accounts that we've signed up, either as a partial supplier or exclusive supplier to those retailers, which to us is probably the clearest indicator of market share. And as I said, that number went up significantly following the closure of the three players. So, that's a good indicator for us.
Bill Chappell : And then on the Bayer payment is this is expected to be an ongoing payment, or ongoing subsidy to help offset the negative news?
Jim Hagedorn: My voice is crashing here…
Randy Coleman: I'll answer that one, Bill.
Jim Hagedorn: You guys are saved, I can't talk…
Randy Coleman: So $20 million for 2019, given what's going on with marketplace and the challenges that have been going on, we've been working collaboratively with the team, both in St. Louis and in Germany over the last several months. So we probably came to an agreement and the payment was made on April 1st, but it's a one-time payment in 2019 for reimbursement of certain costs related to Roundup. And some of that is incremental to those costs, and we've been able to take those dollars invested in Roundup media, other medial in our U.S. business, as well as have fund from the promotions in Hawthorne that we already talked about. So happy the way that turned out, but that’s the 2019 one year payment…
Jim Hagedorn: And maybe just talk about where you're going.
Randy Coleman: We're still in conversations, like Jim said, we think it's important to have flexibility, optionality, security and the agency agreement that we already have. Conversations have been very productive. The team really understands where we're coming from. Too early to be more clear or definite, but we're encouraged by…
Jim Hagedorn: One of the conversations is about the economics. And those -- like Randy said, those conversations are ongoing. And I want to be -- and just talked about, I want to be thankful to our partners at Bayer for -- at a time of, I think pretty high stress for them to deal with our issues as we see them. And I think these conversations are being led by Randy and are going I think really well. And we'll have more to say when we can.
Bill Chappell : And then just last one from me, I mean the 13% POS this time of the year, it's the highest I remember at least in the past five plus years. And you'd started going back to January saying the retailers were geared up better than they've been before and we're really ready. Is there an explanation for beyond weather, and weather was better, I get that. But like why it's just so strong this early in the year?
Jim Hagedorn: The weather has been good that always helps. I think it's a little bit go back and look, take out last year. And so there's good growth, but last year sucked so bad that it sort of says we're in a pretty good like trajectory if you just take last year out. But I think you're right in that there's more than that going on. I think all the retailers are highly interested in the category. I mentioned in my script that we had a lot of senior level discussions, primarily about what's happening with Roundup. And this has been really Mike and myself at the most senior levels of really all of our retailers. And number one, I think it's allowed Mike and I to renew our relationship without talking about the day-to-day of the transaction of doing business with a big retailer, which tends to be everything, which is selling stuff. This is one where it's adults in the room talking about what we want to do, how we're going to do it together. And I think it's resulted in some retailers that we have had more stressful relationship with over the years recently where we renewed our relationships at the senior levels. And I think we discovered we like each other working with the team and I think that's helped. I also think that new management at most to be fair is extremely keen on stepping out on really the first quarter of their first year, their first full year. And so they’re taking it very seriously, which is great. And last, I think this is one of those internal things that we’re all going to have figure out, I mean you guys too, Randy, is mulch is a very -- I mean I think we’re rediscovering the importance of mulch to start the season. And I think it’s pretty critical, I think we’ve got to figure out in our margin structure if mulch is really important to us. What does that mean to our gross margin expectations clearly is slightly dilutive. And we just got to figure out how permanent that is. But I just don’t think you can actually promote -- I’m talking as a retailer, promote into the season without something like mulch. And therefore, I think we’ve been conflicted about that and tried to move toward discipline on margin and reduction in our exposure of that category. Just saying it’s not that high calorie count. But I think that I view that as mistake. So, I think it's really good for the -- in total the total business. And I think it’s important for the street to see that this is not falling into undisciplined selling. This is actually leading with something that really gets lawn and garden season going. And I think that’s been a big part of what’s happened this year. And I want to put a -- Tom Crabtree and Mike have been and the whole senior sales team have been out really doing good work. So I don’t know Bill, I’d say that so many things were coming together this year, a good weather, good products, good programs, relationships of trust that are new that give us more upside opportunity. It’s going pretty well and so it’s a healthy thing. And I think that it's more than one thing. It’s a lot of things coming together that you would hope would come together and they have.
Randy Coleman: Bill, to answer your question on this year, April 2019 that we’re in just about rival the best April that we’ve had in the history that can come backwards versus a three year average over the last few years we’re up about 3%, so that's the 13% contact but really pleased with where we’re at. And a little bit more color on just what the numbers look like. When we look at retail performance, we’re up across all channels so we’re doing well across the board for a lot of reasons that Jim talked about. When you look at it regionally, we’re doing right now better in Midwest and Northeast just because last year was such a challenge on the weather end. So we expect that the west and the south to do a lot better in May and June and complement that. And when you think about share, we have typically higher market share in Midwest and Northeast, especially on the fertilizer business, so that’s helped quite a bit as well. And then on our last call, we’ve talked about going out of line review. And market share expectations for this year. And like I said, there were certain skews that retailers took out that I understand completely they weren’t really working well for us, they weren’t working well for the retailers either. But since then we’ve been really competitive. I believe we’re taking market share at this point in a post line review outcomes. We've been a lot more competitive in marketplace, taking advantage of opportunities in store. And the new products we've introduced aren't just about market share, but are so about growing the categories. So when you think about GroundClear, it's growing the category of non-selective weed, the performance organics it's going to category and potting mix and garden soil and plant food as well. So not just market share plays that are truly growing the category, more reason why we are excited about what's happening this year.
Jim Hagedorn: Mike, I think you want to add on this…
Mike Lukemire: I think you got to look at it as retailers in the renewal are counting on us to grow the category, and that's the complete solution across all categories versus taking and choosing layers of works. And I think that's what multiples and helps bring more people in and then we can convert with our brands. We win another category so I think that's what's in fact you're seeing.
Operator: We will now move on to our next question from Jon Andersen of William Blair. Please go ahead. Your line is open.
Jon Andersen: I wanted to ask on Roundup. I'm trying to square the idea that Roundup pulling the sale up 20% with some of the noise around the brand and then the payment that you've referred to from Bayer. If you could talk a little bit about the strength of Roundup in light of some of the headlines, and what you expect going forward for that brand? And is GroundClear meant to replace Roundup over time, or that is an option for those consumers who may not be comfortable on the margin buying Roundup in the future?
Jim Hagedorn: I'll start if I can continue. We're surprised too. So one of the things we did is increase the ad spend and both of us, Bayer and Scotts, agreed too to pay for it. When you're seeing, whatever it is Prop 65 language in California being talked about, I think we told you guys last year that California, in spite of the Prop 65 and IR stuff, actually had really good POS results last year, in spite of what you would say. And by the way, our research would show that consumers were concerned. So one of the things that's happened I think is the southwest that had pretty wet winter and lot of weed pressure. And so we started out early with really good sales in Arizona, Phoenix. And when you look at it and -- a year -- before that and a year before that, it was last, Roundup last year was such a bad year that it's a little bit like talking about our consumer business. So part of the growth is the fact that it's less impressive when you look at it compared to the previous year, not excluding last year. So we increased the advertising. We were concerned. The retailers were concerned. We didn't know what's going to happen. Honestly, I'm not sure I can tell you exactly what's happened nut we're happy about the results. I think all of us, Bayer, Scotts, the retailers, have been concerned. And we're relieved that the result that we're getting. So that's on that side. The GroundClear line-up is designed as a fallback, just because we didn't know. And we wanted a product line that was allowed under the agency agreement, which GroundClear is, to just in case it was a backlash, be ready for that. And we funded that at a pretty high level. And so the result is when you see our sales, which are really the category, being up almost a third year-to-date. It is impressive as heck. So GroundClear was designed as a backup. I think it actually has a real place -- I mean we're not focused on the product line next year as a result of this year. I think it gives us a better shelf set. I think it offers an OMRI-certified product for retailers who, or for consumers, who might be concerned or want a different less chemical product. So I think it is a little bit serendipity in the -- you had a bad season last year, that season was a lot better, meaning a lot more weed pressure. And I think it's probably pretty clear that consumers have a lot more resiliency than maybe our research would have shown in regard to the brand reputation.
Randy Coleman: Jon, the only other thing I'd add is that if you haven't seen that EPA came out yesterday, U.S. EPA, they've done anther review we're glad to see and very comfortable that science is sound they produce. So I think even more affirmation that things are fine.
Jim Hagedorn: Well, I want to say to if our friends at Bayer are listening that they've actually been really good to work with, so far throughout what I think is extremely disruptive period of their history as they're dealing with integration of Monsanto and the Montesano reputation issues, and certain legal liability issues that they're dealing with. So if I look back at where we were last fall after that original Johnson verdict to where we are today. Randy has really primarily led the exercise in trying to figure out how our relationship needs to be modified in order to do the right thing for this company. And they've actually been receptive in dealing with that, and it's been not pleasant to deal with. But it's been pretty professional.
Jon Andersen: You talked on the prepared portion of your comments how important it's going to be to be viewed or become a trusted partner for large commercial operators in the hydroponic space and having the right products, differentiated products. And I’m just wondering if you could talk a little bit about, you have two sides to the business and so you have the consumable side and the durable side. And where you think you have the most differentiation or importance today to those larger scale commercial operators and where you have the most work, or more work to do to demonstrate that technical expertise and differentiation again, comparing your durables portion of your business versus the consumables?
Chris Hagedorn: So it’s a good question and it’s a little bit difficult for us to break it down. On the one hand we are the market leader by a pretty significant margin on the lightening side as we are in the consumable side. Now I think you can look at it and say as with our roots from Scotts Miracle-Gro, the biggest and most experienced consumer lawn and garden company and thus nutrient growing media company in the world. I think our prowess there is pretty unparalleled when we compete on the lighting side with some very significant very established players. So, I think the competition I would probably say is stiffer on the durable side as it relates to lighting. But we’ve got some very strong partnerships with some extremely significant players. So I don’t think we’re in a disadvantaged position there. But I think again just understanding who we are from an enterprise level Scotts Miracle-Gro, I think our primacy there is pretty unraveled, not to sound arrogant.
Jim Hagedorn: Well, I would say slightly differently. I think we have on the consumable side, I agree with what Chris said. I think we just have to do it. I think we’ve got to look at our nutrients business, our soils business, our R&D pipeline. I mean the things that we can add when you talk about, Chris talks about prowess, I think we have to execute against it. And I think we’re headed down the road. On the light business, first of all, we have a board meeting tomorrow and Friday where Chris and his team are going to talk about all the stuff. But I think that we aim to lead lighting, both in the traditional lights and LEDs. And I think we’ve got a plan to do that, which is key. And I think in the other durable areas, which would be hydroponic systems, rolling stock, there is a lot of innovation happening. So I think that somebody said how far down the track you think you are in being what I’ve been saying lately the perfect vendor, perfect partner to professional growers. I think we’re more than halfway there. And that’s a long way since what we were a year ago. So I think we’ve got a lot of work to do but when we talk durables, we're really talking plastics and lights. And I think there is a lot of really good work happening, both here in Europe and in Vancouver. And on the consumable side, we've got a lot of value we can add that we're just -- I mean, it's been -- I think Randy was actually being, or maybe it was Mike last week, being defensive of Hawthorne and said, for Christ's sake guys, we have had like eight months to integrate. And when you consider that we're trying to strategically make ourselves into an essential partner, I think we have made progress in both areas. But Scott has a lot to help Chris with and his group on the consumable side, on the durable side, there is a lot of progress happening.
Randy Coleman: And just one thing that I want to add is that as important as it is to look at those two halves of our business, and we do look at them that way between durables and consumables. I think it's also important to note that we have competitors in each of our individual categories. But for me, I don't really see the differentiator as much an individual category for Hawthorne, the fact that we are basic or partnered with people who are basic in every category. And when you look at these operations from a growers' perspective, everything has to work in concert, every product, every tool you use has to work together with the others. And being the only people out there who offer all of it along to tech services package that we have, and that to me is the big differentiator less than any individual product line.
Jon Andersen: Last one from me is just the number three player that liquidated relative to Sunlight. What are your expectations for the number two player? Are they teetering? Do you expect them to remain as a competitor? And what are the implications there going forward? Thanks.
Jim Hagedorn: I'll answer question for my team. We respect everybody who's competing in the space, and we aim to beat them hard until Randy says, you better start focusing on margin. So I would say, highly respectful of our other competitor. And we're not taking our foot off the gas either. But I am not going to say anything about teetering, because every time I do that comes back to bite us on the ass. But I will say -- so they are good honest people and we are going to continue doing what we do.
Operator: We will now move on to our next question from Joe Altobello of Raymond James. Your line is open.
Joe Altobello : So I guess question on the Bayer reimbursement. First and if I understand what you said earlier Randy. It's in the guide but you're spending it back so it don't flow it through the model, number one. And number two, what was the rationale for the reimbursement, because it seems like the Roundup business is doing pretty well as you guys pointed out this morning.
Jim Hagedorn: So let's see if we get at question one and Randy is capable of answering the whole thing. I would just say is, because we talked about this before. We didn't know how this was going to go. So we've done a lot of work to make sure that the good results you're seeing today at least as close, we want to overcome headwinds. I would say three or four months ago, if I had an answer for you I would tell you. Is it safe, it was like marathon man or something I have no idea if it's safe. The results of certainly
Randy Coleman: The product or the outlook, I think you need to be…
Jim Hagedorn: I'm talking about the outlook. Just to be clear the Roundup is through two cases and leaving 12,998 left to go. But given the environment we thought we were in, I think we spent the money extremely well and I think you're seeing the results of it. So we didn't know how it's going to go. And I can’t predict that it's going to be as good next year. We're two cases into this and it's the court of public opinion and consumers that matters here, not what we hope. But I think the money is being spent really well and I think you're seeing the results. But I don't know what it means, maybe Randy…
Randy Coleman: I'll just say, Joe, again, this was the payment on April 1st and the sale of the JV on April 1st were both result of conversations that date way back to the fall, it took many months to consummate. So I'd say that was how we got here. Like Jim said, looking forward, we're encouraged by what's happening this year, difficult to predict the future. Really happy with the way this year is turning out and we'll go from there, but so far so good.
Joe Altobello : And if I could ask a question for Chris, I want to hear Jim's voice a little bit. But on California hydroponics, it seems like the markets bottomed there. Where does supply demand stands for cannabis in California? And are you still seeing movement toward the black market, which I think would be good for you guys?
Chris Hagedorn: So we are definitely seeing -- the market there on the legal side, I think is beginning to resolve itself. That being said, I don't think it's happening quickly enough to satisfy just the pent up consumer demand there. So we do believe that there is a shift taking place back towards the black market, I would chalk that up largely to, again, just a slow rate of legal changeover, as well as just the fact that even in the state like California where things I think are relatively permissive and becoming more so, it’s hard to be a legal grower due to the way that businesses are taxed, the way that businesses can bank at a legal level. I think a lot of folks who dip their toes into legal market found that unfortunately due to the way that the laws are written, it is more beneficial from them as individuals to remain in the black market. So there's been a shift back towards that at least that’s what we've seen, that's the feedback we get from our retailers. Now the product set that we have that has traditionally serviced that market, it is a relatively high margin product set. So it's not something we're lamenting. But I do hope that the state federal government can work towards issues and continue to see towards both the white market, because I think that's just better for everybody long term.
Operator: We will now move on to our next question from William Russo of Bank of America. Please go ahead, your line is open.
Unidentified Analyst: This is Mike on for Bill. Just one question here, you guys mentioned [Technical Difficulty]…
Jim King: John, if we can put that caller back in the queue, if he can help us understand the question we'll glad to take it later. We've got so much static on the line that we can’t hear him. So we could move on to next question in the queue, let's do that.
Operator: We will move to our next question from Chris Carey of Bank of America. Please go ahead. Your line is open.
Chris Carey: Testing, is this a Bank of America issue or can you hear me as well?
Jim King: Loud and clear…
Chris Carey: It's just a credit to you then. So I guess I was hearing in the prepared remarks or maybe during the Q&A, I can't remember that maybe Marvin and the team going over the Lowe's has caused a change in strategy there, maybe more engagement, maybe a more aggressive approach to driving these product categories. I wonder if you can elaborate on that a little bit more.
Jim King: I can make it easy, yes. I was having a haircut this weekend and I was down the road from [Kenny Langone] who jumped me while I was in the chair at the barber shop on Saturday. And said, why is Lowe's looking so good. And I said well there's a new management team and this is what I would chalk it up to. It’s a very merchant oriented leadership team there who aims to compete, and I view that as a good for this business. And we’re doing our best to be very fair to all retailers. But I would say Marvin and the team are doing really good work and they want to make an impact. And if I said what is, it all about, I would say it’s a very aggressive merchant culture that I think is healthy for this business. Mike, anything you'd add…
Mike Lukemire: No, I think that you said it right. So they're just been aggressive and first to market they’re competing.
Chris Carey: So obviously, the inventory sell was strong as you guys have expected and the POS is coming through in a pretty strong way, and that you have the May overhang with being such a strong month. So I’m just trying to merry the risk of working through some of this inventory and the consumption with the comments that you made about the potential to raise guidance when you updated the market in June. So, do you need POS to continue to be really strong in May in order to get reorders here? Or is there something else that you’re seeing that would suggest that you can get that activity over the next month?
Jim King: So just a couple of points I'd throw out. One, I think pretty much at this point Mike’s got May already ordered up, meaning you’ve got orders in house already to cover May. So it is a matter of selling product off the shelf. So at the end of the day, it's going to be consumer takeaway that means either during May or beyond May where you’re at. Effectively where we’re at is our feeling is if we can count May, Randy will have good news in June. So that’s the internal give and take of how do we manage this call, how do we manage expectations. I think we, meaning Randy, Mike and myself, are seeing how May goes, which is what a consumer POS looks like. I was listening to news this morning on the way in and the May forecast for the East Coast, long-term forecast whatever that is 30 days, looks very attractive for the East Coast. So I think we're in a good place, and Randy would be willing. And the challenge is can we comp May. If we do, that's going to be a good result for the year. I don't think we're feeling like there is a lot of risks to the expectations we set, to put it that way. So I think we're confident in where we are. I don't think unless it snows every weekend for the rest of the year. I'd doubt we miss. But the challenge is are we going to call up and I think right now we're just saying, just give us a month and we'll tell you.
Chris Carey: And I'm conscious of where the call is in time, so just I'll get a quick question from you on. Just on promotions and Hawthorne. I'm trying to understand maybe why you've been so promotional and more importantly, why you think that going forward you expect it to become less promotional? Thank you.
Jim King: Why, I accused them of being gone shy and they're also red hot now. So the opposite of gone shy right now. And we have something to say in the industry and we're saying it. I think -- because I'll put myself in the operator at least bias, which is somewhat a conflict with my operating finance boss. I think we have reached a commerce level probably the end of this year for aggression when it comes to use of margin, really on both sides, which is on Hawthorne and on the consumer side, because generally when Mike and I come back from some place, we have made a multi-deal to drive the business, which Randy also has a smile on his face. But I view it as something that will evaporate overtime. I think we have something to prove that this business will recover, and that we can show that. I think we have that and we can take share on Hawthorne. I think we have. And then we can develop the skillsets in the professional vertical to market, and called shops that partners will recognize us as essential to their business, I think we have done that. And I think we're doing that on the consumer size as well. So I think we're pushing, Randy, about as hard as we can. But all of us, including Chris, recognize that we're going to have to fill some more profit discipline next year and beyond and we accept.
Randy Coleman: Chris, the only thing I would add is Jim's taught me that once you made the sales, there's nothing else to add. So I want to thank him for representing me so well to answer your question. So thank you.
Operator: We will now move on to our last question from Jason Rodgers of Great Lakes Review. Please go ahead, your line is open.
Jason Rodgers: Just wanted to have a follow-up question on Hawthorne, you mentioned offering service packages with the durable and consumable sales. I was wondering what percent of Hawthorne sales are currently derived from service? Is there a recurring revenue opportunity here? Just if you could provide some more information on how services are bundled with that equipment sale at the larger growers? Thanks.
Chris Hagedorn: So I probably should have phrased it differently. We have a tech services team that we deploy across pretty much the breadth of our business, really prioritizing our larger, what we'd consider, key accounts, particularly up in Canada right now. It’s not something that we've been charging for. I don't foresee us at least in the near-term making that a revenue driver, it's more of a sales tool and it comes bundled with using us as a supplier.
Jim King: I want to just add how critical I think that is. This is a relatively new industry, particularly at the scale that you're talking about where customers like this in a single site could have tens of thousands of lights. And they've got to combine that and grow the product of quality and predictable, all the stuff you'd expect and everybody is learning as they go. Our ability to step in as a major supplier with a highly professional tech support group that says, what's going on here, how can we help, what's not working. If you're one of the big LPs in Canada and something is not working, you need help. And being a partner that can step in with experienced technical support, including R&D, sales, lighting et cetera, nutrients and say, let's get them back up and running or solve a problem as quickly as possible. And saying it doesn't cost you anything for that. All you got to do is buy our products. You buy our products. You will get something that I don't think anybody else can offer for nothing. That's the model when this works right.
Randy Coleman: I would just add, if you could meet the people that we have on this team, they're seasoned, they're knowledgeable and they're experienced, here to help, you'll be really impressed.
Operator: It appears there are no further questions at this time. I'd like to turn the conference to Mr. King for any additional or closing remarks.
Jim King: Thanks John, that's all we've got today. If we've not gotten people's questions, please call me directly at 937-578-5622. And because we have not gotten enough plugs in yet this morning for John Anderson's conference, Randy, and I will be there on June 6th to give you an update on where we stand here today. Thanks for calling everybody and have a great day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.